Operator: Greetings, and welcome to the GMS Inc. Fiscal Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Leslie Kratcoski, Investor Relations. Thank you. You may begin.
Leslie Kratcoski: Thanks, Michelle. Good morning and thanks everyone for joining us today. I'm joined today by Mike Callahan, CEO; John Turner, President and Lynn Ross, Chief Accounting Officer and Interim CFO. In addition to the press release issued this morning, we have posted presentation slides to accompany this call in the Investor Relations section of our website at gms.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent management's current estimates and expectations. The company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the company's SEC filings, including Risk Factors section of the company's 10-K and other periodic reports. Today's presentation also includes a discussion of certain non-GAAP measures. The definitions and reconciliations of these non-GAAP measures are provided in the press release and presentation slides. Please note that references on this call to fourth quarter and fiscal 2019 relates to the quarter and fiscal year ended April 30, 2019. With that, I'd now like to turn the call over to Mike Callahan. Mike?
Mike Callahan: Thanks, Leslie. Good morning and thank you for joining us today. I will begin today's call with a review of our operating highlights and some market commentary, and then turn it over to John for a few remarks on his early days here at GMS. Lynn will then cover our financial results in more detail. We will then open the line for your questions. Turning to slide 3, we are very pleased to deliver a strong finish to fiscal 2019 with record net sales and adjusted EBITDA for our fourth fiscal quarter. Organic sales growth of 7% during the fourth quarter reflected higher volumes and pricing across all of our product groups, including over three points of volume growth in wallboard, as a result of strong activity in the United States. Our strong growth of organic revenue for the quarter was broad based across each of our product lines with 3.8% growth in wallboard sales, 13.7% growth in ceilings and 8.3% growth in steel framing. Other product net sales were also up 7.8% organically and they continue to be a key part of our growth story. On the profitability front, we also generated record results with a nearly 50% year-over-year increase in adjusted EBITDA to 73.5 million for the fourth fiscal quarter. The increase reflected contributions from the Titan acquisition, growth in our base business, our continued focus on operational improvements and favorable lease accounting.  I'd now like to spend a few moments sharing our current view of our end markets in both Canada and the United States. In our fourth quarter, our business in Canada continued to be impacted by some softness in the Canadian single family residential market. Coupled with challenging weather conditions earlier in the quarter, the Canadian business experienced a high single digit year-over-year sales decline on a constant currency basis with further impact from about a 4% depreciation in the Canadian dollar year-over-year. And based on the current forecast, we believe it will take some time for this sector of the Canadian market to normalize. Nonetheless, the fundamentals contributing to long term Canadian housing demand remain sound, including strong household formation and population and economic growth. Also on a positive note, the commercial activity in Canada remains solid and Titan continues to be accretive to our consolidated operating results. Our long term strategic rationale for the acquisition of the largest distributor in Canada remains very compelling, including increased scale and footprint in North America, geographic expansion into the highly attractive Canadian market and creation of a well balanced platform for growth. We firmly believe that our investment thesis for this attractive acquisition of strategic importance remains strong. On the organizational front in Canada, we are very pleased to announce that Travis Hendren, most recently Vice President of Corporate Development at GMS will be joining the management team in Canada as Executive Vice President reporting to Doug Skrepnek, President of WSB Titan. Travis was an integral part and leader in our acquisition of WSB Titan in June of ‘18 and his appointment to this new role reflects the strategic importance of our Canadian operation and is part of our ongoing succession planning. As part of the succession plans for Titan, Travis will work closely with Doug over the balance of ’19, as Doug transitions to a consulting role, remaining engaged in the business. And after Doug moves into the consulting role, Travis will assume the position of President of WSB Titan. In the United States, we continue to be quite encouraged by activity levels and other leading market indicators. The organic daily sales volume improvements we have seen in each month in the fourth quarter and continuing into the first quarter of ‘20 further validates that view. As it pertains to residential construction, while single family starts so far in calendar ‘19 have remained perhaps softer than anticipated, we have seen mortgage rates and home price appreciation moderate, and indicators of seasonal demand are generally positive. Employment and income growth remain at very healthy levels and many of the major markets in the US continue to have limited housing supply, as building remains below historical averages. All of which bodes well for the long term outlook.  And on the commercial front, which represents the majority of our business, most indicators and estimates point to continued growth against the backdrop of a healthy economy. We are seeing this in our own business with strong backlogs in quote activity. In recent visits to many of our locations in multiple geographies, I have continued to hear from our own people and key commercial customers that pipelines are very robust through calendar 2019 and quotes are going into the calendar ‘20 and beyond. GMS generated strong free cash flow in the quarter of 83 million, which enabled us to continue to execute on our balanced approach to capital allocation, including reducing our net leverage in the quarter to 3.6 times pro forma adjusted EBITDA, while at the same time, expanding our business through acquisitions and Greenfield investments, and repurchasing 5 million of our common stock. During the quarter, we closed on the acquisition of Commercial Builders Group in Southern Louisiana and opened four Greenfield locations in Carrollton, Texas; Fredericksburg, Virginia; Harrisburg, Pennsylvania and Portland, Maine. Subsequent to the end of the fiscal fourth quarter, and as announced earlier this month, we acquired Hart Acoustical & Drywall Supply in South Texas. As evidenced by all of these actions, we are executing on our capital allocation strategies of debt reduction, disciplined growth through acquisitions and Greenfields, and opportunistic share repurchases.  Turning to slide number 4, I'd like to provide a recap of the highlights for the full fiscal year 2019, which was a very important year for GMS, both operationally and strategically. We made significant progress on several fronts. First, we surpassed 3 billion in net sales through both organic growth and acquisitions. We completed the acquisition of WSB Titan in Canada, which extended our leadership position in North America with materially expanded scale and footprint. We significantly improved overall profitability, expanding adjusted EBITDA margins by 160 basis points year-over-year to 9.5%. We generated 175 million in free cash flow. And as I just noted, we deployed a balanced capital allocation strategy, including reducing our net leverage by 0.6 times, since closing of the Titan transaction a year ago, investing in two additional acquisitions and eight Greenfield expansions and repurchasing 16.5 million of our common stock.  As we previously announced, I will be retiring in August after a 26 year career at GMS. Since this is my last earnings call, I wanted to take a few moments to reflect on the growth of GMS that I have seen, not only throughout my career here, but also since the company's IPO in 2016. Since my joining GMS in 1993, we have grown from about 50 branches to over 250 locations and expanded from 17 states to 43 states in Canada. Our annual sales at the time I joined were 236 million and in just the last three fiscal years, since the IPO, we have increased our sales by almost 70%, more than doubled our adjusted EBITDA, completed 17 acquisitions with 59 branches and opened 13 Greenfield yards.  It has definitely been a very fast paced and rewarding time here. Now having the opportunity to work alongside the talented and dedicated GMS team has been my greatest privilege and the highlight of my entire business career. I'm extremely proud that together, we have built the number one North American specialty distributor of interior building products and developed a unique corporate culture over the years that continues to be very, very special. I've also appreciated working with many of you on the call today, and I thank all of our shareholders for their continued support. Going forward, I know that GMS has the right team in place to build upon the company’s strong track record. John, who joined us as President in May and will assume the CEO role upon my retirement brings to GMS nearly 30 years of distribution and manufacturing industry experience and a broad range of expertise in operations, sales, customer service, distribution and logistics as well as strategic planning and M&A. Having gotten another job through our extensive travel and meetings over the last few months, I'm absolutely confident that with his leadership, GMS is well positioned to achieve its next phase of growth and success in the years ahead. I look forward to continuing to work closely with John until my retirement, and also look forward to seeing what he and the team accomplish to raise GMS to even greater heights in the future. I'll now turn it over to John.
John Turner: Thanks, Mike, for that kind introduction and for your service to GMS over the past 26 years. It's great to be here today to speak with our analysts and investors. I've enjoyed speaking with some of you since joining GMS and look forward to engaging with more of you in the near future.  Let me start by saying how excited I am to be part of the GMS family. I was first attracted to GMS by its leading market position, specifically the strength of its North American network combined with local expertise and commitment to service excellence. In the short time I've been here, I've already been impressed by the talent and enthusiasm of the team. I've been welcomed by great people who are clearly dedicated to the company, its customers and each other. Together, we are working hard to execute on our plans and build on our existing momentum. Looking ahead, the opportunities for growth are significant. I look forward to leading the company and capitalizing on those opportunities as well as further strengthening our customer relationships, supplier partnerships, product offerings, and overall value proposition as we position GMS for its next phase of growth and success. Since joining, I've been spending time in our facilities as well as with our customers and suppliers. I'm here to build on an already strong foundation. And I'll be working with the team to identify ways we can enhance every aspect of our business. And we will be sure to keep you updated on our progress. I look forward to transitioning into the role of CEO later this summer and working with you all in the future. With that, I'll now turn it over to Lynn to provide more details on our financial results for Q4.
Lynn Ross: Thanks, John. And I would also like to thank you all for joining us today. We were pleased to deliver a solid fourth quarter, highlighted by record net sales and adjusted EBITDA performance and strong free cash flow generation.  Turning to slide 5, we grew net sales 22.7% to 780.1 million. We are especially pleased with a 7% [ph] increase in our organic sales compared to the fourth quarter of last fiscal year. Our sales of wallboard were up by 15% to 322.3 million in the fourth quarter compared to the same period last year. This increase was driven by acquisitions, higher organic volumes and pricing. The increase included a 3.8% growth on an organic basis, which included an increase in volume of just over 3%, and about a 1% increase in pricing. Our fourth quarter ceiling sales increased by 17.4% year-over-year to 112.2 million. Higher organic volumes resulting from increased commercial business, along with benefits from acquisitions and pricing improvement drove this increase. The 13.7% organic increase was comprised of price increases of approximately 9% as well as higher volumes of approximately 5%. Our sales of steel framing increased during the quarter by 16.3% year-over-year to 124.5 million, driven by the positive impact of acquisitions, higher organic volumes from greater commercial business and pricing. The 8.3% organic increase included gains of approximately 4% for pricing and volume. Sales of our other products, which consist of [indiscernible] and various other complementary products continues to grow rapidly, totaling 221.1 million, and up 44.4% compared to the fourth quarter of last year. The addition of Titan has broadened our product offering. And at the same time, our nearly 8% increase in base business sales of other products further reinforces the continuing success of our efforts to grow this highly profitable product category. Gross profit in the fourth quarter increased almost 25% to 257 million. This was the result of both higher organic sales and the positive impact of acquisitions as well as pricing improvement. Gross margin of 32.9% improved 50 basis points from 32.4% a year ago, due to contributions from the Titan acquisition, including purchasing synergies and favorable price cost dynamics and mix. And on a sequential basis, gross margin also improved 50 basis points from the third quarter and exceeded the 32.2 guide we indicated in our last call. While we benefited from some favorable price cost dynamics and mix in the fourth quarter, we do maintain our gross margin guide of 32.2 moving into fiscal ‘20. Turning to slide 6, we improve our leverage of fixed costs, reducing our adjusted SG&A as a percentage of net sales by 100 basis points year-over-year to 23.6%. This year-over-year reduction was less than we had previously estimated on our Q3 earnings call. Let's walk through the details. While we did recognize the full benefit of our strategic cost reductions and lease accounting changes, these benefits were partially offset by some headwinds, including unanticipated insurance costs, increases in certain corporate expenses related to timing differences as well as lower sales and operating leverage from Titan. Finally, we have continued to be impacted by significant inflationary wage pressures, as we’ve discussed on previous calls. Just as a reminder, we’ve now lapped the year-over-year benefits from our change in lease accounting, and will do so with respect to our strategic cost reductions after the first quarter of ‘20. Moving along to adjusted EBITDA, we delivered 73.5 million of adjusted EBITDA in Q4, up 46.9% year-over-year. Our adjusted EBITDA margin was 9.4% as a percentage of sale, or 8.7%, excluding the impact of leases, which was up 80 basis points from 7.9% a year ago. Turning to slide 7, during the fourth fiscal quarter, we generated 83 million of free cash flow, a significant increase from 15 million a year ago. The increase is due to a 40 million reduction in net working capital, 24 million of higher net income after adjustments for non-cash items and 5 million of lower capital expenditures. We used this free cash flow to reduce our net debt by $66 million as well as repurchased 5 million of our common stock and complete the acquisition and Greenfield transactions that Mike talked about. At the end of the quarter, our net debt to LTM pro forma adjusted EBITDA was 3.6 times, which was down from 4.2 times at the end of the first quarter of fiscal ‘19 and down from 3.8 times at the end of the third quarter. We intend to continue to de-lever through strong free cash flow generation. Our balance sheet remains quite healthy, with 47.3 million cash on hand and 314 million available under our ABL facility, resulting in substantial liquidity. Additionally, of our total long term debt, approximately 80% is not due until 2025. Before turning the call back over to Mike, I'd like to touch on a few more outlook items for fiscal ‘20. For fiscal ’20, we expect CapEx to be in the range of 20 million to 25 million and interest expense to be in the range of 70 million to 75 million. Now, let me turn the call back over to Mike, before we open the line for questions. Mike?
Mike Callahan: Thank you, Lynn. Just a few additional comments before we open the line for questions. Again, we are extremely pleased with our strong finish to the year and are confident in the team's ability to continue to take advantage of our multiple levers to drive success: organic growth, Greenfields, M&A and operating leverage. We continue to leverage our market leading positions in the distribution of interior building products, our balanced product portfolio and our diversified exposure across commercial and residential new and R&R construction markets. And most importantly, our great network of dedicated GMS colleagues in both the US and Canada continue to embrace our strong entrepreneurial culture to drive outstanding performance and service for our customers and our suppliers.  Operator, we are now ready to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Matthew Bouley with Barclays.
Matthew Bouley: Thank you for taking my questions and congrats to Mike and welcome to John. I wanted to, I guess, first ask about the free cash flow, obviously impressive in the quarter. I think, you ended up with about 175 million for the full year of ‘19. Is there anything that you could call out that, anything that particularly drove the strength in the quarter there and how should we think about what free cash flow could look like in fiscal ‘20?
Lynn Ross: Yeah, sure, Matt. In terms of what drove the free cash flow in the quarter, some of that was driven by about a $35 million increase in accounts payable that we do not expect to experience going forward. That kind of brings our expectations down to somewhere between 40% to 45% of adjusted EBITDA going forward and the 35 million of the increase in accounts payable was simply driven by changes in the timing of purchases.
Matthew Bouley: And then secondly, the gross margin, I think you said price/cost was favorable, which drove the strength in the quarter. And if I heard you correctly, I think you said 32.2% was the expectation for fiscal ‘20 still. So just I guess, what are you expecting with price/cost and mix that is driving the margin to subside a bit? 
Lynn Ross: Yes, so we believe that the 32.2 is a prudent guide going forward, given the uncertainty around the pricing environment, obviously, you should construe that 32.2 as the floor, we hope to do better.
Operator: Our next question comes from the line of Trey Grooms with Stephens.
Trey Grooms: I want to echo the last comment. Congrats, Mike on your retirement. It’s been great working with you. And, John, we look forward to working with you going forward.
Mike Callahan: Thank you, Trey.
John Turner: Yeah. Thank you, Trey. 
Trey Grooms: Well, so I want to touch on a couple of things. One, so, your wallboard pricing slid just a little bit sequentially. The manufacturers’ February wallboard increase failed. It seems to have continued to slide a little bit at the manufacturing level, at least according to the PPI. Can you guys talk about what you're seeing there more real time and have you seen any stabilization in the pricing or how should we be thinking about that, especially, US specifically?
Mike Callahan: Well, I mean, I think, you touched on it. I mean, I think the price increase in February definitely was lethargic coming out of the gate and we really did not -- we just didn't really get much realization to say the least. I think right now, just the supply/demand conditions are such that until that kind of alters a bit, I think the price outlook going forward is going to be, kind of, remains to be seen at this point. So, but I would say that in general, I think the pricing environment is stable right now, if I had to kind of give a characteristic to it today. But clearly, the increase did not hold.
Trey Grooms: But seeing some stabilization currently I guess is the key takeaway.
Mike Callahan: Yes. That would be my take.
Trey Grooms: Okay. And then my follow-up is around Canada. So, just -- I would just want to make sure that I understood your comment. So volume down high single digits and was that just on the single family side or is that overall, including some of the positive impact from commercial, just some clarity around that comment?
Mike Callahan: That would be, on a consolidated basis, that would be in total. I – and really, on the single family front, that, for the most part, is confined to single family low rise. I mean, if you look at the high rise activity, the high rise condo and apartment as well as commercial, the fundamentals of those segments are still very sound. The real area is focused on that single family low rise and frankly, a lot of that, it just has to do with a lot of the regulatory pressures that have been brought to bear in that segment of the market up there. So, long term, we continue to be optimistic about where it's going to develop. But right now, there's definitely some noise in that segment of the market.
Trey Grooms: And just, if I can, just to get a little bit more kind of back on the pricing within the Canadian market, I know it's been tight there. Just, wallboard has been tight there over the last few years. Now with that kind of, I guess loosening up a little bit, what's the thought around pricing in that market kind of going forward? Is that usually -- I know, it's a totally different market than US. So forgive me if this is elementary question. But historically, what has that generally done in times of, when things start softening up a little bit, understanding it's still a quite a bit of imports coming into that market.
Mike Callahan: Up there - and I would say and again, my historical reference is somewhat limited too, having just bought the company a year ago, but I would tell you that based on the limited numbers of suppliers up there, I mean, it's not as if it's -- like in the States, where you've got seven manufacturers you can pull from, there's really only two or three depending on which part of the country you're talking about to pull from. So I don't see any big alterations necessarily in terms of the pricing environment. And frankly, I think the productions will be adjusted based on the demand levels anyway, kind of like we do here. So, I don't see any big price adjustments necessarily taking place over here.
Operator: Our next question comes from the line of Keith Hughes with SunTrust.
Keith Hughes: Thank you and my congratulations to you Mike and good luck. I'm sure the golfing industry will see its rounds go up once you head into retirement here.
Mike Callahan: Thanks, Keith.
Keith Hughes: Just building on a couple of questions that have come in, specifically turning to the ceilings industry, some very strong numbers here, very similar to what we saw, although better in volume what we saw out of Armstrong. I guess my question is, as the specialty business ramps up in ceilings, they and USG and others have been doing that, can you tell us how that benefits GMS? Is there any that business you [missed] [ph] because it’s sold direct, how does that work out for you?
Mike Callahan: The specialty side?
Keith Hughes: Yeah, the specialty side of the business. Yeah.
Mike Callahan: We've talked about this a little bit before. I mean, if you look at the [growth segment] [ph] there is always this conversation around the commodity product and what's the long term growth prospects of that, but the reality is that we've seen very significant growth in the specialty, wood metal ceilings, the accoutrements to open platinum ceilings, for example, with the acoustical clouds and things such as that. And so I think, and I really have to tip my hat to our guys in the field, who dedicated a lot of resources and energy behind those segments of the business because it requires technical expertise, it requires a lot of product knowledge. And in many respects, we become kind of the consultants for even architects, as they're trying to design a lot of these more sophisticated spaces.  So, we've committed a lot of resources to that segment. And I think we're yielding the results of that, AS products are a key part of the growth story and the other part of it is too that just the fundamental R&R side and the fact that you've got that annuity factor built in because of the replacement of either tiles that are damaged due to a water pipe failure or somebody that's building out three new floors, so there's just kind of a -- there's an ongoing activity level, particularly given the relative strength to commercial right now. So it's kind of a combination of factors, but the specialty side of the architectural -- specialty side is definitely a growth area for us.
Keith Hughes: Okay. And switching to Titan, do you think the next couple of quarters, will you see your Titan business bottom out, or will there still be some downside in business as – and you try to search for a bottom in Canada?
Lynn Ross: Yeah, sure, Keith. On the bottom in Canada, a couple of things. First of all, our exposure there is 22% of the demand is single family, is new single family. We certainly hope to see things turn in the next two or three quarters. One thing that’s starting to turn already, Canada as I think you guys know, has a higher lumber business than the US businesses do. And we've already started to see some of the lumber prices start to turn around, so I don't know where the bottom is. We hope that it's now and fully expect to see things start to turn around. However, it will take us a little bit of time for the factors that we discuss related to single family to iron themselves out.
Keith Hughes: Okay. Final question on SG&A, now that you’ve Titan for a year, do you think there will be – actually, you’re going to year two of ownership, will there be more SG&A savings/leverage that we would see that tick down for the whole company synergies or are we kind of past that?
Mike Callahan: Well, I mean, I think on the synergy front, that's an ongoing effort. It's kind of like we had our first bite at the apple so to speak, but as we continue to grow our businesses together, we find more opportunities to purchase cross border from the same manufacturers or even new manufacturers. We're going to find more opportunities to find synergies and I think frankly, as the revenue and expense mix improves, as single family comes back and I think you're going to see more opportunities for SG&A leverage in the future, but that's a TBD there, but I'm fundamentally optimistic and I would reiterate, as I said earlier, the acquisition of Titan was and is a very, very sound and strategically significant investment for us. So while there's some short-term hiccups in the business, long term, it's accretive now, and it will continue to grow and be accretive in the future.
Operator: Our next question comes from the line of Michael Wood with Nomura Instinet.
Michael Wood: Mike, it’s been a pleasure working with you and congratulations on a well deserved retirement.
Mike Callahan: Yeah. Thanks, Mike. Appreciate it.
Michael Wood: First, I wanted to get some, just more SG&A details if you wouldn't mind. The wage inflation, maybe where exactly that's coming from, if that's an industry phenomenon or GMS specific and maybe some of the timing of the corporate expenses in terms of details on what’s driving that and when that might come down?
Lynn Ross: Yes, sure. On the first question that you asked with respect to the wage inflation, this is -- it's a real thing across the industry. It's driven by labor shortages that are pretty significant in construction. It's not just the GMS thing. Most of the economies in which we operate are full employment economy. So we're seeing that primarily in logistics, but also in other costs. Related to your question on the timing, really, nothing ominous, just simply year-over-year timing of certain expenses as well as some unanticipated and unexpected insurance claims that took place the last quarter of the year, the last -- actually in April.
Michael Wood: And on the favorable price/cost that you called out, can you just give us some details on that? Perhaps quantify your cost inflation, where that was running, just in terms of the gross margin impact?
Lynn Ross: No. We're not -- we can't really quantify the impact of the favorability of price/cost. We did have some nice tailwinds from the purchasing synergies as a result of the Titan acquisition. So really, I think the remainder of the increase was due to price/cost and the mix.
Michael Wood: Okay, but just to understand the sustainability of the low double digit EBITDA, conversion margins that you achieve, which is in line with your long term expectation, is that something that you think is sustainable going forward? Trying to just understand the price/cost was sort of like a one-time benefit that that benefit might wane.
Lynn Ross: Yes, so moving forward, we fully expect to be in the 10% to 15% range for incremental adjusted EBITDA. And we think that that's very achievable. So, we do believe that that is sustainable. Yeah, just to qualify that with, of course, that depends on the pricing environment and on Titan’s performance as well.
Operator: Our next question comes from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Thanks for taking my questions and Mike and John, congrats to you both.
Mike Callahan: Thanks, Michael.
John Turner: Thank you, Mike.
Mike Dahl: So I wanted to pick up on the Titan conversation with the first question. I think the business was run rating something around 460 million and 15% EBITDA margins on an LTM basis when you bought it. Clearly, it’s a moving piece since then. Can you just help us size up what the current run rate on sales and profitability is for the business?
Lynn Ross: Yes, sure. Sales is 15% of the total. And in terms of level of detail, as we've discussed on previous calls, we're not prepared to provide that level of detail.
Mike Dahl: Got it. Okay. Shifting gears, wallboard pricing. Mike, you mentioned that you're seeing stability in the market today, I guess, and just looking for a little clarity on that, if you could provide a little more detail on the pricing intra quarter and is there anything we should be thinking about in terms of exit rate on pricing that's different from the 324 for the quarterly average?
Lynn Ross: Can you reframe the question?
Mike Dahl: Yeah, sure. So, I think the comment suggested that there's been sequential stabilization in pricing, like as the PPI data has kind of continued to move lower sequentially for the manufacturer. So your quarterly price was 324. I'm just wondering if the exit price, if we should be thinking that the price was kind of falling through the quarter, so that even if we're stabilizing today, we could see another downtick in the quarterly price next quarter. I just want to make sure we're on the right page there.
Lynn Ross: Yeah, it's a possibility again. There's a lot of uncertainty with respect to, like we talked about, with respect to the pricing environment.
Mike Callahan: And it also depends on the mix because that's based on, the aggregate numbers too. So, I would say that there is no big moves that we're seeing [indiscernible] and I think based on the supply/demand predictability right now that pricing is generally stable, but trying to handicap that going forward is pretty difficult to do at this juncture.
Mike Dahl: If I could get one last question in, just on SG&A, I think you highlighted in both the comments and in the presentation, just the unanticipated costs and timing of certain other costs. Can you quantify how much of an impact that was in the quarter and kind of how to think about, and you're lapping some of the benefits, as you mentioned in early fiscal ‘20, but just how to think about what to expect for SG&A moving forward.
Lynn Ross: Yeah. In terms of the mix of the -- so we got 100 basis points of leverage. We would have, we forecast to get 200 basis points of leverage year-over-year. The 100 basis points of like, let's call it, miss was half and half due to tightened, a, not being as big of a portion of the business and, b, not having the ability to leverage its own fixed costs to the extent that we had forecast and the other half being the insurance costs and the timing of the corporate expenses that we talked about. Going forward, we certainly hope to get some leverage, how much under our current run rate it is, is really dependent on wage inflation as well as on Titan performance.
Operator: Our next question comes from the line of David Manthey with Baird.
David Manthey: Thank you. Hi and Mike, congratulations and good luck. The question, to get at these one timers another way here, maybe could you just give us the magnitude of the insurance and the timing of other costs sort of year over year? What the magnitude of that impact was? And then I assume what you're signaling here is that we should get relief on both of those, as we move into the first quarter. They were sort of periodic to the fourth quarter, is that correct?
Lynn Ross: Yes, that's correct.
Mike Callahan: Yes.
David Manthey: And in terms of magnitude, basis points or dollars, can you give us an idea of what they were?
Lynn Ross: Yes, sure. 50 basis points was the insurance costs and the timing of certain corporate expenses and 50 basis points was the Titan impact. [indiscernible]
David Manthey: Okay, that sounds good. And then second on pricing. Sounds like you're sort of signaling maybe flattish wallboard pricing in fiscal 2020. But could you talk about the ceiling prices? Will we see another strong quarter coming up here, and I'm just trying to get an idea of the timing, when you'll lap the prior price increases, and I assume at some point, you'll revert back to sort of the 3% to 5% norm there. And then I know this is a long question, but just mainly ceiling pricing and timing.  And then second is steel prices? Is it possible you could actually see a drag from steel prices this year?
Mike Callahan: Well, as it relates to wallboard, I'm not smart enough to project out that the entire year ‘20 will not see wallboard increases. So I mean, I don't want to go on record, as having said that. Again, a lot of that has to do with demand/supply conditions and just overall activity levels. So that certainly could have an influence as to longer term wallboard pricing. On the ceilings front, everything that we're seeing in terms of quote activity and backlog and in the general attitude of our folks out in the field is that we're going to continue to see growth in ceilings going forward, just based on the current volumes. And as we've discussed on previous calls, I mean, there is pretty much kind of a built in price increase relative to ceilings year in and year out. I mean, you get two increases a year and it's fairly predictable.  So I mean, I think our outlook on the ceilings front and our growth and frankly, our investments in people and resources to grow that business, you can see the fruits of those efforts already. And I would see that continue in to the future.
David Manthey: And then on the steel, Mike?
Mike Callahan: Yeah, I tell you, Dave, steel is, it's really -- we've seen some slippage downward, obviously, prices have fallen. And I think when you look at the current market relative to scrap, and the availability of ship scrap, offshore is limited. I would say that, our view is that steel prices and I'm talking specifically now about the steel and the structural side, I think we're probably going to see that continue to probably drop in terms of price as we go forward.
Operator: Our next question comes from the line of Kevin Hocevar with Northcoast Research.
Kevin Hocevar: Hey, good morning, everybody and congratulations as well to Mike and John. Wondering if you could comment on cash, cash usage expectations here in 2020, it seems like debt paydown is a priority, but obviously still doing acquisitions and a little bit of share repurchases as well. So if you can kind of frame up for us your expectations there and where do you think you can get that net leverage? It looks like you took off 0.6 from what 4.2 to 3.6 I think this year. How much further down you think you can draw that in fiscal ‘20?
Lynn Ross: Yeah, we'll continue to operate using our balanced capital allocation approach, debt pay down remains a priority. We've talked about our target of 3.0. The exact timing of that 3.0 obviously depends on the generation of adjusted EBITDA. If you look from where we were right after the Titan deal, at 4.2, really, we're halfway there now. So we will continue to do that in terms of the share repurchases, we will continue to be opportunistic about share repurchases. And we’ll continue to be selective about strategic acquisitions. We think that's an important part of our growth story.
Mike Callahan: Yeah. And I would add to that, Kevin, if you look at this quarter, to me, I think it's kind of a perfect example of this balanced strategy that we're approaching. I mean, it's not an all or nothing proposition. We've got to have the right balance between de-levering, which we clearly understand as a priority, but at the same time as opportunities present themselves, whether it's Commercial Builders, whether it's Hart, or whether it's Greenfields, we have to continue to run the business long term and strategically. And as things present themselves from a stock price standpoint, we capitalize on that as well. And I think this is a really good picture of how we can do that, and at the same time continue to drive down that debt level. So, that's going to be the strategy going forward. 
Kevin Hocevar: And then, Mike, you mentioned the strength you saw here in the fiscal fourth quarter carrying forward into May and June. Just kind of curious if you can comment on that specifically, are you seeing pretty similar growth rates, are you seeing any accelerations or decelerations? Just wondering if you can elaborate on that a little bit?
Mike Callahan: Well, I mean, I think just as a general statement, there is a solid level of momentum certainly going into May, June is kind of really detailed, because we haven't wrapped up all the numbers, obviously, and that kind of thing. But just in talking with the field and meeting with the customers and looking at frankly a lot of the larger commercial folks who are completely booked out for ‘19 and going into ’20, our view is the overall activity level is solid there. And even with some of the softness, if you want to call it that in single family, we're still stocking an enormous number of units of housing right now in multifamily. So, pretty much broad based, I just say that the activity level and the outlook is just very positive, is it -- it's not like a hockey stick or some massive growth, but it's just a real solid environment right now. And I think the outlook is very positive.
Lynn Ross: Yeah, I’ll just add sequentially during the quarter, and continuing into May, we saw sequential increases in our sales per day. So we're pretty positive about that. Little bit too early to tell in June, we're still in the month.
Operator: Our next question comes from the line of Matt McCall with Seaport Global Securities.
Unidentified Analyst: And it's actually [indiscernible] on for Matt. Congrats, Mike and John to you both? Most of my questions have been answered. Just one follow up if I could, you mentioned still targeting kind of 10% to 15% EBITDA contribution margin going into this year, is there -- a clarification, does that include kind of any pressures that would result from WSB declining? I assume, that's a higher margin business, probably has higher contribution margins, does that include any pressure from there that's maybe offset by some synergies and/or any maybe savings, if there were to be continued pressure in the Canadian business?
Lynn Ross: Yes, sure. The 10% to 15% incremental EBITDA contribution does include our forecast which we expect to tighten.
Operator: Our final question comes from the line of Truman Patterson with Wells Fargo.
Truman Patterson: Mike, let me add my congratulations. I hope you enjoy retirement.
Mike Callahan: Yeah. Thanks, Truman. I appreciate it.
Truman Patterson: First off, on the wallboard volumes, up in the 3% range. Seems like that's a pretty good result, given what's going on with Canada's housing starts decline, the US starts are down. So a pretty good result. I guess, how do you guys think about your market share there? Have you guys been maintaining it or even picking up a little bit of market share here in the US?
Mike Callahan: I would say as a general statement, we feel like we're kind of holding our -- we're holding our share position. If you look at, cyclically on a 12 month run rate relative the GA numbers and kind of where we see our numbers coming in, so the growth rates, we’re very happy with on the organic side. Frankly, there was also some deferred work that got pushed out, you've heard and seen all the things about weather and this and that. The reality is, there was deferred work that we really picked up on as well, going into this quarter. So it's kind of a combination of factors, but we're confident that our share position, we're pretty much holding firm.
Lynn Ross: Yeah, I would just echo that and say that, kind of our read through of the Gypsum Association Data, which obviously has a lot of noise in it, we actually think we might have seen some positive movement on share. So we're pretty positive about that.
Truman Patterson: And then looking at your Greenfields, you guys opened four during the quarter? Seems like you guys are picking up that activity a little bit over the past year, could you just walk us through the economics of opening a new branch and kind of the timeline of revenues and cash flows until breakeven and performing in line with more established branches?
Lynn Ross: Yes. So in terms of Greenfields, we still think that the 6 to 8 guide is a generally good guide. We did have 8 this year. I think it's reasonable to expect that in ’20, we’ll have that number. In terms of the economics of it, it’s a fairly nominal capital investment. There is a period of ramp that’s say 12 to 24 months.
Truman Patterson: Okay, is there any way we can think about kind of the revenue ramp and how long it takes to get a Greenfield branch to kind of the average overall branch level?
Mike Callahan: Probably 24 months, 24 months, a little bit over 24? I mean, the reality is that most of these Greenfields, as you know, we've talked about before, there are extensions of existing platforms where we might shift X percent of volume from an existing operation with a Greenfield. So, I would say that, it's a minimal amount of capital investment, you're probably getting to a normalized run rate of a couple of years, maybe 2.5 years, get it on a full run rate basis as a standard brand, so to speak. But you're also, in the near term, you're picking up logistical benefits, because of, obviously open it up a new location or not trans-shipping or going to long distances and that kind of thing.
Operator: Thank you. There are no further questions. At this time, I would like to turn the call back over to Mr. Callahan for any closing remarks.
Mike Callahan: Thank you. Well, thank you all for joining us today. Again, I've really appreciated working with many of you since our IPO in 2016 and I thank all of our shareholders for their continued support of GMS. I wish John and the GMS team all the best in the future and I look forward to seeing them bring GMS to its next phase of growth with success. Thanks very much for being with us today.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.